Operator: Good day, ladies and gentlemen and welcome to the McGrath RentCorp Fourth Quarter 2013 Conference Call. At this time all conference participants are in a listen-only mode. Later, we will conduct a question-and-answer session. [Operator Instructions] This conference is being recorded today, Thursday, February 27, 2014. Now I would like to turn the conference over to Geoff Buscher of SBG Investor Relations. Please go ahead.
Geoffrey Buscher: Thank you, Operator. Good afternoon. I’m the Investor Relations Advisor of McGrath RentCorp and will be acting as moderator of the conference call today. Representatives on the call today from McGrath RentCorp are Dennis Kakures, President and CEO; and Keith Pratt, Senior Vice President and CFO. Please note that this call is being recorded and will be available for telephone replay for up to seven days following the call by dialing 1-800-406-7325 for domestic callers, and 1-303-590-3030 for international callers. The pass code for the call replay is 4659462. This call is also being broadcast live over the internet and will be available for replay. We encourage you to visit the Investor Relations section of the Company’s website at mgrc.com. A press release was sent out today at approximately 4:05 PM Eastern Time or 1:05 PM Pacific. If you did not receive a copy but would like one, it is available online in the Investor Relations section of our website, or you may call 1-206-652-9704, and one will be sent to you. Before getting started, let me remind everyone that the matters we will be discussing today that are not truly historical are forward-looking statements within the meaning of Section 21-E of the Securities and Exchange Act of 1934, including statements regarding McGrath RentCorp’s expectations, beliefs, intentions or strategies regarding the future. All forward-looking statements are based upon information currently available to McGrath RentCorp and McGrath RentCorp assumes no obligation to update any such forward-looking statements. Forward-looking statements involve risks and uncertainties, which could cause actual results to differ materially from those projected. These and other risks related to McGrath RentCorp’s business are set forth in the documents filed on McGrath RentCorp with the Securities and Exchange Commission, including the Company’s most recent Form 10-K and Form 10-Q. I would now like to turn the call over to Keith Pratt.
Keith Pratt: Thank you, Geoffrey. In addition to the press release issued today, the Company also filed with the SEC the earnings release on Form 8-K. the Company also announced a 2% increase of the cash dividend to $0.245 per share for the first quarter of 2014, representing on an a annualized basis a 2.7% yield on the February 26, 2014 closing stock price. For the fourth quarter 2013, total revenues decreased 7% to 94.6 million from $102 million for the same period in 2012. Net income decreased 1% to $11.8 million from $11.9 million and earnings per diluted share decreased 4% to $0.45 from $0.47. Reviewing the fourth quarter results for the Company’s mobile modular division compared to the fourth quarter of 2012, total revenues increased $3.8 million or 13% to $34.5 million, due to higher rental, rental related services and sales revenues. Gross profit on rents increased $0.3 million to $11.5 million, primarily due to higher rental revenues, partly offset by lower rental margins of 52%, compared with 56% in 2012. Lower rental margins were a result of $1.5 million higher other direct costs for labor and materials. Selling and administrative expenses increased 11% to $9.7 million, primarily as a result of increased personnel and benefit costs. The higher gross profit on sales, rental and rental related services revenues, partly offset by higher selling and administrative expenses resulted in an increase in operating income of 0.2 million, or 4%, to $5.9 million. Finally, average modular rental equipment for the quarter was $560 million, an increase of $28 million. Equipment additions were primarily to support growth in Texas, Florida and the Mid-Atlantic region and for our portable storage business. Average utilization for the fourth quarter increased to 70.5% from 66.8%. Turning next to fourth quarter results for the company’s TRS-RenTelco division compared to the fourth quarter of 2012, total revenues decreased $3 million, or 8% to $35.2 million, due to lower sales and rental revenue. Gross profit on rents decreased $0.8 million or 6% to $12.9 million. Rental revenues decreased $0.6 million or 2% and rental margins decreased to 49% from 51%, as depreciation as a percentage of rents increased to 40% from 37%. Fourth quarter 2012 results included $3.7 million in proceeds from the sale of TRS environmental rental equipment at a loss of $0.4 million. Selling and administrative expenses decreased 5% to $6.4 million, primarily due to the exit of the environmental test equipment business in November of 2012. As a result, operating income increased 0.6 million or 6% to $10.7 million. Finally, average electronics rental equipment at original cost for the quarter was $269 million, a decrease of $2 million. Average utilization for the fourth quarter decreased from 65.4% to 61.2%. Turning next to fourth quarter results for the Company’s Adler Tanks division ,compared to the fourth quarter of 2012, total revenues decreased $0.2 million or 1%, to $23 million due to lower rental revenues. Gross profit on rents decreased $0.7 million, or 6% to $11.2 million. Rental revenues decreased $0.3 million, or 2%, and rental margins decreased to 63% from 66% as depreciation as a percentage of rents increased to 20% from 17% and other direct costs as a percentage of rents were flat at 17%. Selling and administrative expenses decreased 9% to $6.2 million primarily due to lower bad debt expenses, partly offset by higher personnel and benefit costs. As a result, operating income decreased $0.4 million, or 7%, to $5.5 million. Finally, average rental equipment for the quarter was $276 million, an increase of $32 million. Average utilization for the fourth quarter decreased from 69.9% to 60.8%. On a consolidated basis, interest expense for the fourth quarter 2013 decreased $0.1 million, or 5% to 2.2 million from the same period in 2012, primarily due to the Company’s lower average debt levels. The fourth quarter provision for income taxes was based on an effective tax rate of 39.2%, compared to 36.7% in 2012. Next, I’d like to review our 2013 cash flows. For the 12 months ended December 31, 2013, highlights in our cash flows included net cash provided by operating activities was $133.6 million, an increase of $7.3 million compared to 2012. The increase was primarily attributable to an increase in accounts payable and accrued liabilities and decrease in accounts receivable, partly offset by a decrease in deferred income, lower income from operations and other balance sheet changes. We invested $132.6 million for rental equipment purchases, compared to $131.8 million for the same period in 2012, partly offset by $33.4 million in proceeds from the sales of used rental equipment. Property, plant and equipment purchases decreased $2.2 million to $12 million in 2013. Net borrowings decreased $12 million from $302 million at the end of 2012 to $290 million at the end of 2013. Dividend payments to shareholders were $24.4 million. With total debt at quarter end of $290 million, the Company had capacity to borrow an additional $240 million under its lines of credit, and the ratio of funded debt to the last 12 months actual adjusted EBITDA was 1.81:1. For 2013, fourth quarter adjusted EBITDA increased $1 million, or 2%, to $41.6 million, compared to the same period in 2012 with consolidated adjusted EBTIDA margin at 44%, compared to 40% in 2012. Our definition of adjusted EBITDA and a reconciliation of adjusted EBITDA to net income are included in our press release for the quarter. Turning next to 2014 earnings guidance, we expect 2014 full year earnings per share to be in a range of $1.70 to $1.85 per diluted share. For the full year 2014 we expect 5% to 10% growth in rental operations revenues over 2013. Sales revenue is expected to be approximately 10% lower than 2013 and gross profit from sales is expected to be approximately 5% lower than 2013. Rental equipment depreciation expense is expected to increase to between $70 million and $73 million driven by rental fleet growth. Other direct cost of rental operations primarily for rental equipment maintenance and repair are expected to increase to between $56 million and $59 million in 2014. Selling and administrative costs are expected to increase to between 96 million and 99 million to support business growth, continued investment in Adler Tanks and our portable storage business and higher employee healthcare costs. Full year interest expense is expected to be between $9 million and $10 million. We expect the 2014 effective tax rate to be 39.2% and the diluted share count to increase to between 26.2 million and 26.5 million shares. Now I would like to turn the call over to Dennis.
Dennis Kakures: Thank you, Keith. Although we are disappointed that company wide net income was relatively flat and EPS down 4% from last year’s fourth quarter, we continue to be pleased with the underlying business activity levels and rental revenue growth outlook in our rental business portfolio. Now let's take a closer look at each business for the quarter. Modular division wide rental revenues for the quarter increased $2 million or 10% to $22.1 million from a year ago and $1 million or 5% sequentially from the third quarter of 2013. During the fourth quarter we experienced a 21% increase in division wide year-over-year first month’s rental revenue bookings for modular building with an increase of 104% in California and a decline of 37% outside of the state. For all of 2013, we experienced a 19% increase in division wide year-over-year first month’s rental revenue bookings for modular building as compared to 2012 with an increase of 31% in California and 10% outside of the state. Rental bookings for 2013 were at their highest annual levels since 2007 prior to the great recession. Rental bookings for the first two months of 2014 are up very favorably as compared to the same period a year ago. We’re also continuing to see rental rates rise for various sized products as demand exceeds readily available supply. Modular division ending utilization for the fourth quarter 2013 rose to 70.7%, compared to 66.7% a year ago and 70.4% sequentially from the third quarter of 2013. Modular division income from operations for the quarter increased by $0.2 million or 4% to $5.9 million from a year ago. The lower percentage increase in income from operations, compared to rental revenues is primarily related to the increase in divisional booking levels and the significant increase in related inventory center cost for labor and materials to prepare and modify equipment for rental. This is compounded by needing to redeploy various rental assets that have been sitting idle for extended timeframes which tend to have higher processing costs than inventory that turns more frequently. In fact inventory center costs, primarily for the preparation of booked orders and anticipated near term orders were approximately $1.5 million or 27% higher during the fourth quarter, compared to a year ago. For all of 2013 these equipment preparation costs increased by approximately $7.4 million or 31% over 2012. Although these increased expenses approximate a negative $0.17 EPS impact, they are an expenditure that signals what we believe is a strong turnaround in our modular building rental business. Keep in mind that almost all of our inventory center costs for building preparation and modification work are expensed in the quarter in which they are incurred. However we benefit from the associated rental revenue stream from such expenditures in the quarters ahead. We are beginning to see the early signs of quarterly rental revenue and utilization lift from the past few quarters of these higher than normal inventory center expenditures. We also had higher SG&A expenses during the quarter from a year ago. These costs were primarily related to increased sales and operations staffing levels to support the recovery of our modular rental business, as well as the continued expansion of our portable storage rental business. Finally, some of these increased costs were offset by higher gross profit on sales of equipment from a year ago. Now, let’s turn our attention to Adler Tank Rentals and their results. Rental revenues at Adler Tank Rentals, our liquid and solid containment tank and box divisions, decreased by $0.3 million or 2% to $17.8 million from a year ago. Quarter end utilization was 57.7%, compared to 67.5% in 2012 and 64.6% sequentially from the third quarter of 2013. The reduction in quarterly rental revenues and utilization from 2012 levels are primarily a result of lower overall drilling activity in the Marcellus shale region, due to increased storage supplies for natural gas, various E&P projects concluding in the Texas market, and lower equipment utilization for storm water projects due to drought conditions in the west. Despite the challenges in various regional markets, new business activity, as measured by first month's rent continued favorably with an increase of 35% from the same period a year ago. However, with a higher mix of non-fracking related rentals, we are seeing shorter average rental terms and a greater churn of rental equipment, which has put downward pressure on utilization. In fact, fracking related rental revenues reduced to 12% of total rental revenues for the fourth quarter of 2013. This is down from 15% a year ago. Adler is serving a wide variety of market segments, including industrial plant, petrochemical pipeline, oil and gas, waste management, environmental field service and heavy construction. By design we have pursued and been successful in generating higher business activity levels across a broader mix of non-fracking and historically less volatile vertical markets. ATR divisional income from operations decreased by $0.4 million or 7%, to $5.5 million from a year ago. The larger percentage reduction in income from operations, as compared to rental revenues is primarily due to higher depreciation costs, partially offset by lower SG&A expense from a year ago. Now let me turn our attention to TRS-RenTelco and their results. Rental revenues for TRS-RenTelco, our electronics division, declined for the quarter by 0.6 million or 2%, to $26.2 million from a year ago. The decline in rental revenues is partially related to the sale of our environmental test equipment assets and related rental revenue stream in November 2012. We also experienced lower business activity levels from softness in our general purpose test equipment end markets, as well as an earlier onset of seasonal fourth quarter equipment returns compared to a year ago. This is further reflected in quarter end utilization of 58.2% compared to 64.1% a year ago, and 62.3% sequentially from the third quarter of 2013. Average monthly rental rates for the quarter actually increased to 5.31% from a year ago. However, this increase is primarily due to an increased mix of communications test equipment which has shorter depreciable lives but higher rental rates than general purpose test equipment. Despite the year-over-year reduction in rental revenues, divisional income from operations increased by $0.6 million, or 6%, to $10.7 million for the quarter. This increase was primarily related to higher profit on equipment sales and also to lower laboratory and SG&A costs from a year ago. For all of 2013, TRS-RenTelco income from operations rose to 38.8 million or 8% compared to 2012. Now let me take a moment and update everyone on our portable storage business. Mobile modular portable storage continued to make good progress during the quarter in building its customer following, increasing booking levels and growing rental revenues from a year ago. Rental revenues for the fourth quarter of 2013 grew by 35% from a year ago, as well as 17% sequentially over the third quarter of 2013. Income from operations also continues to grow favorably as we increase our top-line rental revenues and critical mass by market. We are continue to execute on our plans for a larger geographic footprint for storage container rental business. We also continue to explore fleet acquisition opportunities to accelerate our growth. To also be noted that we have favorable room to grow rental revenues within the current cost structure. As the economy continues to improve and with the infrastructure and quality team we are continuing to build, our portable storage business should benefit very favorably. Looking forward, we continue to believe that we have an excellent opportunity to become a meaningful player in the portable storage rental industry. Now for a few closing comments although our EPS results for 2013 were $0.11 below our 2012 results. Upon closer review of various contributing factors, the Company’s financial outlook is brighter. First, and most importantly, due to the resurgence in our modular building rental business, we spent $7.4 million more on building preparation related expenses in 2013 than we did in 2012. This equates to approximately $0.17 negative EPS impact. If there is such a thing as good expenses, these qualify. As I have spoken to on many occasions regarding exiting the Great Recession, our idle and favorable cost basis modular building rental inventory has significant earnings horsepower. These building preparation expenditures are necessary on the front end in order to realize increasing rental revenue and utilization levels from these assets in the quarters and years ahead as our modular results have begun to demonstrate. To the extent that we continue to experience elevated inventory center expenses from modular building preparation, it would likely mean that market demand is staying very strong and that rental revenue and utilization levels are recovering very favorably. At some point in the quarters ahead, these inventory center modular building preparation costs should normalize as we benefit from equipment turns that do not require the extent of work that some of the sitting inventory has over the past year. We should also benefit from the equipment returns that were initially placed rent at very low rate during the Great Recession. This equipment is rented and going forward we should see favorable rental rent gains. Finally, we should see increased profit on rents and margin expansion later in 2014, as we benefit from the rental steam associated with our heavy inventory expenditures over the year. The second contributing factor to our brighter financial outlook for the Company is its dilutive share count. Our dilutive share count for 2013 increased to 25.9 million shares, from 25.2 million shares in 2012. This equates to approximately a $0.05 negative EPS impact for the full year and a $0.02 negative EPS impact in the fourth quarter. Higher Company share prices throughout 2013 were responsible for the increase in dilutive share count in two ways. First, the higher share prices drove an increase in option exercising during 2013. Second, with the higher share prices virtually all unexercised and outstanding option grants were above their strike prices and included in the dilutive share count. Now the better news. Beginning in the second half of 2013, and going forward, employee exercises in almost all cases, whether for time-based options or earned performance-based equity grants, will be settled in net shares, after taxes. This is a material counter-dilutive policy that we believe will reduce the impact of future exercised or earned grant shares entering the public equity market by 75% or more. We are just beginning to experience the benefit of this policy change. With respect to 2014 full year EPS guidance, our range to $1.70 to $1.85 is wider than we typically provide. However, there are many moving parts to our portfolio of rental businesses today that make it challenging to narrow guidance further at this time. The most material variables include; one, the strength of the recovery underway in our modular building division; two, the potential for continuing softness in general purpose test equipment rental demand in our electronics division; and three, increasing utilization levels of our ATR liquid and solid containment tank and box rental assets; last, please keep in mind that McGrath RentCorp has a very strong balance sheet with a funded debt to last twelve months actual adjusted EBITDA ratio of 1.81:1, and with the current capacity to borrow an additional $240.0 million under our lines of credit. We can be very opportunistic in growing our business lines with the availability of such funding. We are committed to making each of our rental businesses meaningful in size and earnings contribution, and with the best operating metrics by industry. We plan to continue to make favorable strides during 2014 towards achieving these goals. And now Keith and I welcome your questions.
Operator: [Operator Instructions] Our first question is from the line of Scott Schneeberger with Oppenheimer. Please go ahead.
Scott Schneeberger - Oppenheimer: Looking at modular, it does look like the ship is turning here gradual but occurring and I'm curious to get your take on what you expect to see kind of in a seasonality quarter-by-quarter progression if the trends in bookings or what’s implied by these trends in bookings persist throughout 2014? What do you expect to see on a quarter by quarter basis?
Dennis Kakures: Scott I would look at 2014 this way. It’s likely we’ll have elevated inventory center processing costs minimally through the first half of the year because our backlog and strength of the order book is still good and those are very good expenses to have. At the same time we’ll start benefiting from all the equipment we put on rent this past year as it comes to the 2014 and even turns the corner into 2015. So those are kind of the dynamics in play. How much margin goodness we get above current levels and absolute betterment in terms of total profitability, we’ll have to see, because that will really be dependent on two factors; the second half of the year and how much spend occurs in the inventory center. If we continue to spend at these higher rates, that’s actually the best thing that can happen because it means that we’ll continue to get further rental revenue and utilization lift. If that turns off and changes significantly, if the market cools, we'll actually be more profitable this year than we would be otherwise because those costs will come down pretty quickly and we’ll benefit from that that way. But if I had my desire, we’d continue to be growing rental revenues and utilization to come out of the lower levels sooner rather than later. But that kind of gives you an overview. Those are kind of the push pull that we have. The other item that should mention is that none of this kind of takes into consideration a very robust California school market. We’re still -- those dynamics are still working out with budgets and bond issues and so forth. We plan to have a better year in educational rentals from what we’re already seeing in booked and we’ll have to see how that plays out towards the second half of the year and our bookings in spring and how much equipment goes out in the three to four months after the middle of the year. But the good news is that’s a big item there that we have not yet seen a big uptick on but we have certainly seen a very strong commercial uptick in California, commercial strong in our other markets and educational rentals are strong in Texas, Florida and the Mid-Atlantic by market. So the only real weakness in the business today is California schools but even that is markedly better than it has been over the last couple of years.
Scott Schneeberger - Oppenheimer: And two follow ups in module and then I would like to up to the segment for a second. But I noticed in the fourth quarter very strong increase in California but I believe it was down outside the state a decline. Could you speak to that? Is that an anomaly? Is that a comparison issue? Just is there anything to read into on that and a quick follow up still on modular but I’ll let you see that one.
Dennis Kakures: Yes, that’s based on bookings, first month’s rental booking. So it really just how the order flow came in for one market versus another throughout the year and I wouldn’t read anything into that. When you kind of look at the overall numbers for the year we have a strong year in 2012 in our markets outside of California and they still increased 10% overall in 2013. So I think you look at that total year number is a very good picture and of course California had a great second half of 2013 and is going very strong.
Scott Schneeberger - Oppenheimer: And going back to my prior question and your response to it, I realize you have a pretty big range and there are lot of variables that you mentioned. But as that progression through the year you’d mentioned first half. Should I think a way that it's still going to be probably a headwind -- although a good thing conceptually for the long term but probably still a headwind in the first half and then kind of the TBD in the back half?
Dennis Kakures: I think that’s a very fair assessment. It's a good way to characterize it.
Scott Schneeberger - Oppenheimer: I’m going to shift it up now. In TRS-RenTelco, general purpose equipment, you also listed that as an uncertainty going forward. Could you take us a little bit deeper on just -- that’s a fairly broad category. What kind of you puts and takes on what’s occurring there and your confidence that there will be a rebound versus this recent hiccup? Thanks.
Dennis Kakures: Well, general purpose test equipment really started slowing towards the latter half of 2013 and coming around the quarter in 2014 it’s weak. Even when you look at Agilent’s most recent earnings call and other industry information, it's fairly week across the Board and that’s related to the semiconductor industry, general electronics and businesses that tend to use that type of test equipment more. We’re not - there is some aerospace and defense weakness in there as well and within our efficiency to look at pipeline, our pipeline still looks pretty favorable in those in-markets. However we have not seen and again we’re just about at the end of February, we just haven’t really seen much strength coming back in that. In fact it's actually probably that a little weaker since start of the year. However, again looking at the pipeline, the pipeline tells a slightly different story but again pipeline is just that. That has to materialize.
Scott Schneeberger - Oppenheimer: And then I have one more and I’ll turn it over. Within Adler, could you speak a little bit to the CapEx plans for 2014. Specifically you see that, I think you said downhill, the fracking percentage, it may be down to 12% I believe. Just kind of curious what type of tanks you’re purchasing? How aggressively? And anymore kind of color or feel you can provide to each of the end markets which you serve there? Thank you.
Dennis Kakures: Well with respect to CapEx, we really have not in the last probably 18 months to two years purchased in effect a standard frack tank. What the equipment we have been buying has been different types of specialty tanks or boxes everything from vacuum boxes to stainless steel tanks, double wall tanks, the watering boxes. So its equipment that is not what when we used in the fracking world but it’s really used industrial environment, it used in the landfills, it’s used in waste collection processing. So from that standpoint, that equipment tends to be shorter term in nature but higher price. So we get, utilization tends to lower than our product then we get better rental rate, but there is more churn and we get - it’s not a like a fracking project where it goes out and it stays for eight to 12 months, which is a lot what we’ve experienced overtime in the Marcellus et cetera. So you don’t have that really contiguous rental statements, as much as you have shorter terms, either couple of months couple of weeks. But the dynamic of how we’re spending on CapEx really relates to non-fracking equipment that is serving a number of these other verticals that we’ve developed.
Keith Pratt: Just in terms of numbers, we spent $56 million with Adler in 2012 and that dropped to $31 million last year. So based on what Dennis described for those specialty units, a lower rate of spend and we’d expect to continue in that mode as we enter 2014.
Scott Schneeberger - Oppenheimer: Okay, thanks Keith. And any greater feel on vertical-by-vertical level 1 how things are going. You covered fairly well on a general basis, but are you able to take us any deeper or want to leave it at that? Thanks.
Dennis Kakures: In I my prepares remarks I talked about a number of different verticals that we participate in and overall I won’t give any one of those any particular commentary, but we’re very broad-based. Based on what regional we’re in, some of those are more pronounced than others. But we’re participating in all those verticals and I think we’re doing very well with those opportunities that are out there. But from a competitive standpoint, I'll let Randle remark to that.
Randle Rose: And, Scott, as we indicated in the comment, the real challenge area has been the fracking business. It’s a very tough year in 2013, continued to decline and for the full year the rentals we're getting from fracking were down 41% compared to the non-fracking business growing 19% for the year.
Operator: Our next question is from the line of Joe Box with KeyBanc Capital Markets. Please go ahead.
Joe Box - KeyBanc Capital Markets: Just wanted to go to back to mobile modular business. Dennis, I appreciate the comments earlier regarding the California K-12 business that you’d mentioned somewhat weak. I'm guessing that’s going to move up with the budget looking a little bit better buy my question is really in regard to mix. What tends to be more beneficial to McGrath? Is it just a budget increase that we’re seeing now or is it a bond funding that would come back and we’d eventually see more construction of schools or are you basically indifferent to that mix?
Dennis Kakures: Well, let me answer that by saying that historically the way - first of all modernization work today, there really three buckets of - I will take all the way back to this. There are three buckets that we run into in school environments. One is student population growth where it happens fairly rapidly and they don’t have permanent facilities to house the students and they need to rent modular building typically for multiyear terms. Second is modernization which is schools that are being reconstructed for asbestos abatement or seismic retrofitting et cetera and third is class-size reduction. So those are really the three buckets. Now if you look at California, they've austerity in class-size reduction. That’s the first area that has the severe budget pressures. They cut back on that dramatically. So that’s an area which I know is high in a lot of people’s list in the state to be able to bring back down or should say bring back down those ratios of students to teacher. That’s one area. The other area that’s probably the most significant is modernization work. The way modernization work historically have gotten funded in California is 50% comes from local districts funding either through bond measures or parcel taxes or other sources and the state's 50% comes from statewide bond initiatives. And the California population has always supported both local bond issues and statewide bond issue facilities for schools, very high passage rate. During the Great Recession, local districts were able to pass parcel taxes, bond measures et cetera very favorably. So they had -- that money is on the sidelines. The state hasn’t passed a facility bond measure since November of 2006. So it’s been eight years and that’s highly and you at the first time in my 31 career with the company that we've ever not had a bond measure pass every two years for the most past. So the dynamics of such is the state doesn’t have money at the state level. Budgets are getting better in school districts and a lot of local districts are well funded. But it’s plain out here now is the governor has said it may not be business as usual going forward. You shouldn’t be looking potentially to the state under school projects. Now we don’t how this is all going to play out because there is a lot of pressure to put another bond measure on the ballot for November of this year because it’s sorely needed. Now how the funding landscape changes overtime, we don’t know at this point, but the next window here really to take a bond measure from the state level is in November and we'll have to see how it plays out. Those are some competing agendas but the governor has a state water project and high speed rail system that I believe is going to be paid through bonds. So this is all a bit up in the air. I will say this though. Some school districts have gotten kind of tired of waiting and moved ahead on their own projects because they have enough of their funds to pay 100% and they plan on get it reimbursed at a later date for some or all of that. So it’s really kind of a mixed bag right now but again I want to emphasis, our school business in California is much better this than it was last year. Certainly, it hasn't returned to pre-recession levels. And we feel that at some point push has got to come to shove up here. You’ve got class size reduction that hopefully will be turning around. You’ve got schools that are continuing to age and need to modernized and you’ve also got growth. California student population is started to grow here for the first time in over a decade. So all of those will put pressure on state government to address matters. I’m sorry for my long weighted answer but it’s kind of -- you can’t really do it without kind of knowing some of the history there, but we feel -- when we look at renal fleet today and our low cost renal assets and our standing with school districts in the state, it’s about 900 to 1000 schools districts in the state, we’re really well positioned for any additional new rental business which we’ve started seeing an increase in. So we’re in a very strong position to benefit from the different areas or buckets I mentioned earlier, as they began hopefully to uptick.
Joe Box - KeyBanc Capital Markets: Switching gear over to TRS, can you maybe just talk about some of the levers that you have to pull to drive growth in the business? Are still seeing an international opportunity and maybe can you grow the communication business more to offset some of that weakness in general purpose?
Dennis Kakures: When you look at our electronics business, we’re one of two of the largest rental companies really in the Americas, ourselves and a competitor, REX. And when you look at the U.S. as a growth market, as we’ve talked about, it's low to middle single digit on rental revenue growth, and even though this year we were fairly flat, maybe up just a little on total rental revenues, obviously we grew profitability more than that because we’ve got well-oiled machine. So I think the U.S. market, very healthy but it's slow growth for the most part and if you look internationally we obviously have made investments in various countries from Southeast Asia, from Mexico and South America and we’ve actually at one time about a year ago, UNESCO, about 14% of our total renal revenues were from outside of the U.S. and Canada and that has shrunk some really here over the past year or so. Now we’ve just entered in the last year India, which we feel is a wonderful market for us and primarily to do business initially with U.S. multinationals and we’ve only set up a lot of infrastructures to be able to conduct business there. So that’s an entirely new market that it’s taken us about a year to get into. We've set up our facilities there. We've hired people and we’re just now really to see starting some of the rental revenue flow from the India market. But overall, we will grow faster outside of the U.S. and Canada on a percentage basis the years ahead and that’s a great opportunity, especially with our prowess and success that we've done really in the Americas. And remember, it’s a highly capital intensive business. There are technology obsolescence dynamics. It's not an easy business to enter and be successful in, but we’ve certainly been able to do that. So there is some kind of natural barriers to entry in my opinion to be highly successful and not the least of which is the expertise that our sales engineers have on test equipment that they’ve grown over the decades.
Joe Box - KeyBanc Capital Markets: Now that you guys have built up some scale in the portable storage business, can you maybe just give us a little bit more color on the strategy there? Maybe are you focusing more on short-term rentals versus long-term rentals? Any specific end markets that you're targeting, and any commentary that you might have on the pricing front? It looks like one of your competitors is doing a pretty good job of pushing prices up.
Dennis Kakures: Well, I think pricing, ever since we've entered the industry in 2008 has been very stable and really never eroded and it is stayed very healthy. With respect to rental terms, yes, longer rental terms projects, we target those just like our competitors do and obviously having longer contiguous rental stream unless churn of the product is a good guy from a profitability standpoint. As for new markets, we plan on entering three new markets in 2014. I won’t, for competitive purposes mention what those markets are, but we are very excited about the opportunity. We’re pretty selective. We do our homework. And of course in 2013 we entered the greater New Jersey market, leveraging the Adler name for our portable storage business and so we’re pleased with the progress they’ve made thus far. So we’re starting to get a larger international footprint. It will be larger by the end of 2014 and we love the business and love the metrics of it and the asset class.
Operator: Our next question is from line of David Gold with Sidoti & Company. Please go ahead.
David Gold - Sidoti & Company: Just a couple of follow-ups for you. First, I’m not sure if you called it out, or if you can, but similar to the sense you gave us over the $0.17 for 2013, can you give a sense for what's embedded in the guidance by way of, let’s call it, repair and maintenance costs or costs for the mobile modular units that you are prepping?
Keith Pratt: David, let me try and address and I would say with the guidance we’ve given for that category of expanse, we think it will be at or slightly above what we experienced in 2013. So I would think an increase of perhaps 5% is possible. As Dennis said earlier, it’s all really going to depend, particularly the middle and second half of the year whether we continue on the current pace of spending, but that’s how we’re thinking about it, up slightly over what we spent in 2013.
David Gold - Sidoti & Company: Got you. And so, forgive me, I know you hit on this a little bit, but so then, if that’s the case also -- I guess presumably better than your guidance is for that to really anniversary as we get to the second half or really start to anniversary anyway. Is that --
Keith Pratt: That’s right. That’s correct.
David Gold - Sidoti & Company: And then, one of the things that you haven’t yet -- you haven't spoken much on. So maybe you could talk a little bit, is a couple of comments in the release about being opportunistic and willing to do things meaningful in size. I wanted to see if we can get more of a sense of -- more color on that, by way of potential capital plans for the year?
Keith Pratt: Yes, let me address the capital plans, first of all. And just to go back to looking at last year, we spent $133 million on rental equipment and particularly given where utilization is on the TRF equipment pool and also at Adler, I think as we look at 2014 as a whole, I would expect that the rental equipment CapEx will be slightly below what we spent in 2013 and so it may well be 5% below, it could be a little bit more than 5% below, depending on the how the plays out. But we have a lot of equipment available and so that will be our focus. And I’ll just mention PP&E for us, land purchases and owning some of our own branch facilities is generally how we operate as we build out the business and PP&E last year was a total of $12 million. We do have some likely activities we’ll do this year around land and buildings and development of land that we could spend twice that in 2014. So that gives you a feel just for the current business organic activities, what’s in our thinking and in our plans.
David Gold - Sidoti & Company: And then, just part two, speaking to what we might be thinking by way of opportunistic spending? 
Dennis Kakures: David, let me share this with you. What I will say is we have a very active corporate development group here and Keith and I are both a part of that and some other officers and we also have some people that spend a 100% of their time on it, and we are continually looking at all different types of rental businesses, primarily business-to-business rental businesses and they vary broadly. We have no shortage of people that bring potential opportunities to us, either in a whole new rental rate or in a business that we’re already in for acquisition and to be able to roll in and have synergies and create something and more profitable. But we’re very active in our view. As you know historically we’re very selective and we like to get it right and know that we can really hit a home run. So that’s our mode of operating but we’re very, very rigorous in the amount of material that we review and how deep we go to understand these businesses before we make a step and of course we often have historically, we don’t speak to anything until we’ve actually executed any particular scenario.
David Gold - Sidoti & Company : But I guess all that's to say that eyes are wide open right now?
Dennis Kakures: That’s fair to say, absolutely.
Operator: Thank you. [Operator Instructions] Our next question is from the line of Michael Caputo with Cramer Rosenthal, please go ahead.
Michael Caputo - Cramer Rosenthal: Can you just remind us the dynamics on the sales side of the business? Is there a divestiture of some environmental business in there or is that just -- I know you had a big year on the sales side in 2012. Did that roll over into 2013 and that's why it is going to be down in 2014?
Keith Pratt: Yes, there are two things I would point out on sales. The first is you’re completely right with the environmental test equipment business. We exited that in November of 2012 and that resulted in sale of $3.7 million. So that made the numbers in 2012 a little higher. The other thing was in 2012 and it also straddled into 2013, within our Enviroplex business we characterized it as sort of a nonstandard project. It was new for us. That contributed about $6 million to $7 million in late 2012 and then there was another $6 million in the first quarter of 2013 related to that business. So as we look going forward with Enviroplex, I would exclude that from the run rate in the Enviroplex business. So to put it simple terms as we enter 2014 there is $6 million of Enviroplex revenue that was in '13 that we wouldn’t expect to repeat. It’s related to that special project and we’re not pursuing projects like that as we go forward. So that’s to the first comment. Those two items definitely mean that as we build our plan for 2014 our starting point is a lower volume of sales. The other thing is would say is the sales part of the business in terms of sales of used rental equipment, it’s one of those harder to estimate items. We generally start the year trying to be conservative on that front, and timing wise they can happen in any particular quarter. It’s a harder piece of the business to forecast. We don’t like to bet the plan on it at the start of the year.
Operator: Thank you, and that does conclude the question and answer session. At this time I’d now like to turn the call back over to management for closing remarks.
Dennis Kakures: Thank you operator, well thank you all for joining us today and your continued support and we look forward to chatting with everyone on our Q1 call in early May. Thank you so much.